Operator: Good morning. My name is , and I will be your conference facilitator today. At this time, I would like to welcome everyone to Boise Cascade's Fourth Quarter and Full Year 2022 Earnings Conference Call. [Operator Instructions]. It is now my pleasure to introduce you to Kelly Hibbs, Senior Vice President, CFO and Treasurer of Boise Cascade. Mr. Hibbs, you may begin your conference.
Kelly Hibbs: Thank you, Tawanda, and good morning, everyone. I would like to welcome you to Boise Cascade's Fourth Quarter 2022 Earnings Call and Business Update. Joining me on today's call are Nate Jorgensen, our CEO; Mike Brown, Head of our Wood Products Operations; and Jeff Strom, Head of our Building Materials Distribution Operations.  Turning to Slide #2. This call will contain forward-looking statements. Please review the warning statements in our press release, on the presentation slides and in our filings with the SEC regarding the risks associated with these forward-looking statements. Also, please note that the appendix includes reconciliations from our GAAP net income to EBITDA and adjusted EBITDA and segment income to segment EBITDA.  I will now turn the call over to Nate.
Nathan Jorgensen: Thanks, Kelly. Good morning, everyone. Thank you for joining us on our earnings call today. I'm on Slide #3.  A few highlights as I reflect on a terrific 2022 for Boise Cascade. We reported full year net income of $857.7 million, or $21.56 per diluted share on sales of $8.4 billion. We had strong performance in safety. We made great strides on our growth initiatives in both businesses, and we also rewarded our shareholders with $160 million of combined regular and special dividends. I also want to thank and recognize our nearly 7,000 associates across the company who made the results and accomplishments of 2022 possible.  Let me now turn over to the fourth quarter results. New residential construction activity declined sharply with total U.S. housing starts down 15%, driven by a decrease in single-family housing starts at 27% compared to the prior-year quarter. Despite the challenging environment in the fourth quarter, we were able to deliver strong financial results.  Our consolidated fourth quarter sales of $1.6 billion were down 9% from the fourth quarter of 2021. Our net income was $117.4 million, or $2.95 per share compared to net income of $169.1 million, or $4.26 per share in the year-ago quarter. Wood Products reported segment EBITDA of $99.7 million in the fourth quarter compared to $112.2 million in the year-ago quarter. Wood Products was impacted by lower EWP sales volumes due to a decline in housing starts and significant inventory stocking through the customer channel. We have and will continue to focus on managing our production levels to meet current and expected sales demand.  Building Materials Distribution reported segment EBITDA of $99.4 million on sales of $1.4 billion for the fourth quarter compared to $144.2 million of segment EBITDA and sales of $1.6 billion in the comparative prior-year quarter. BMD experienced lower sales volumes compared to the prior-year quarter due to decline in housing starts, and declining commodity prices also negatively impacted our financial results during the fourth quarter of 2022. However, our other warehouse sales activity across the range of products was steady, as our customers tend to desire mix loads and look to manage inventory volume and risk during periods of market uncertainty.  As we exit 2022, our balance sheet remains very strong and affords us the ability to further invest in our businesses through the business cycle. We look forward to the continued execution of our growth plans so that we remain well-positioned when residential construction activity returns to normalized levels.  I'll speak more to our growth initiatives during our outlook commentary. Kelly will now walk through our financial results in more detail and provide a further update on capital allocation, after which I'll come back to provide our outlook before we take your questions. Kelly?
Kelly Hibbs: Thank you, Nate. I'm on Slide #4. Wood Products sales in the fourth quarter, including sales to our distribution segment, were $425.6 million compared to $446.6 million in fourth quarter 2021. As Nate mentioned, Wood Products reported segment EBITDA of $99.7 million, down from EBITDA of $112.2 million reported in the year-ago quarter. The decrease in segment EBITDA was due primarily to lower EWP sales volumes and higher wood fiber and other manufacturing costs. We expect Wood Products' annual depreciation and amortization, moving forward, to be approximately $100 million per year. This includes the incremental depreciation and amortization from the assets acquired in the Coastal Plywood transaction.  BMD sales in the quarter were $1.4 billion, down 12% from fourth quarter 2021. BMD reported segment EBITDA of $99.4 million in the fourth quarter compared to segment EBITDA of $144.2 million in the prior-year quarter. The decrease in segment EBITDA was driven by a gross margin decrease of $39.7 million, resulting from decreased sales volumes and declining commodity prices during fourth quarter 2022. In addition, selling and distribution expenses increased $3.6 million.  Turning to Slide #5. Our fourth quarter sales volumes for I-joists and LVL were down 55% and 30%, respectively, compared with fourth quarter 2021. EWP volumes were impacted by the decline in single-family housing starts and significant destocking of inventory through the customer channel. Pricing in fourth quarter for I-joists and LVL were up 5% and 2%, respectively, compared with third quarter 2022. Sharply declining sales volumes during the fourth quarter created positive rebate and allowance adjustments that were offset partially by broad pricing pressures across the system.  We have continued to experience pricing pressures for EWP as we move through the first quarter of 2023, and we expect significant EWP price decline sequentially. However, we expect EWP prices will still be up in comparison to first quarter 2022 levels. As it relates to sequential EWP sales volume expectations, we currently expect both LVL and I-joist to be modestly higher in first quarter 2023.  Turning to Slide #6. Our fourth quarter plywood sales volume in Wood Products was 393 million feet compared to 304 million feet in fourth quarter 2021. The increase in plywood sales volumes was primarily related to the acquisition of Coastal Plywood. Excluding the Coastal volumes, our fourth quarter plywood sales volumes were 334 million feet, up 10% from fourth quarter 2021 and 23% sequentially. The 396 per 1,000 average plywood net sales price in fourth quarter was down 1% from fourth quarter 2021 and down 17% sequentially. Thus far, in the first quarter of 2023, plywood price realizations are approximately 10% below our fourth quarter average.  Moving to Slide #7 and #8. BMD's fourth quarter sales were $1.4 billion, down 12% from fourth quarter 2021, driven by a sales volume decrease of 14%, offset partially by sales price increases of 2%. By product line, commodity sales decreased 17%, General Line product sales decreased 2%, and sales of EWP decreased 19%.  Gross margin dollars decreased $39.7 million in the fourth quarter compared with the same quarter last year, resulting from decreased sales volumes and declining commodity prices during fourth quarter 2022. The gross margin percentage for BMD was 15.8%, down 40 basis points from the 16.2% reported in fourth quarter 2021. BMD's EBITDA margin was 6.9% for the quarter, down from the 8.8% reported in the year-ago quarter.  Looking forward, BMD's sales pace thus far in first quarter 2023 is seasonally weaker. We continue to provide high service levels but are also focused on carrying prudent levels of inventory, given economic uncertainty and weaker housing start projections. With the realities of today's marketplace, we anticipate reporting lower sales, gross margins and EBITDA margins sequentially and year-over-year in the first quarter of 2023. However, we also expect BMD's solid execution to continue and that our EBITDA margins will exceed pre-COVID levels.  Moving to Slides #9 and #10. These slides show the steady decrease in lumber and panel pricing during fourth quarter 2022 compared with sharp increases in the prior-year quarter. As we enter 2023, commodity lumber and panel pricing has increased slightly. However, it is well below the historical highs experienced in previous years. We expect future commodity product pricing will continue to be volatile, but within tighter ranges than seen in recent years as the industry attempts to adjust supply to levels needed to support an uncertain near-term demand environment.  I'm now on Slide #11. We had capital expenditures of $114 million in 2022, with $52 million of spending in Wood Products and $60 million of spending in BMD. In Wood Products, our capital expenditures included the replacement of a dryer at our Chester, South Carolina veneer and plywood plant and post-acquisition veneer equipment-related spending in our Chapman, Alabama facility.  In BMD, our capital expenditures funding for the previously disclosed organic expansions in Minnesota, Ohio and Kentucky, as well as land purchases for our recently announced Greenfield distribution centers in South Carolina and Texas. We expect capital expenditures in 2023 to total approximately $120 million to $140 million, which includes the continuation of our multiyear capacity expansion projects in EWP and further investment in BMD organic growth projects. As we've noted before, the availability of engineering and construction resources, timing and availability of equipment purchases and our financial results are among the factors that are expected to have an influence on these levels of capital expenditures.  Speaking to shareholder returns, we paid $160 million of regular and special dividends to shareholders in 2022. In fourth quarter 2022, our Board approved a $0.03 per share, or 25% increase, in our quarterly dividend. Dividends and opportunistic share repurchases remain our preferred options to return capital to shareholders under our balanced approach to capital allocation. We have no near-term debt maturities and had total available liquidity at December 31 of approximately $1.4 billion, which reflects our cash and availability under our committed bank line. As such, our balance sheet remains very strong, providing us ample flexibility to continue to invest in our existing asset base and organic growth projects in both businesses.  I will turn it back over to Nate to discuss our business outlook.
Nathan Jorgensen: Thanks, Kelly. I'm on Slide #12. We expect to continue to see a deceleration in housing starts, most notably in single-family starts, with forecasts for total 2023 housing starts in the U.S. generally calling for declines of 15% to 30% compared to 2022 levels. While mortgage rates have declined from peak levels in late 2022 and how price increases have moderated, home affordability remains a challenge for consumers.  The Federal Reserve's upcoming actions in response to inflationary data and what impacts these actions have on mortgage rates and the broader economy will continue to influence the near-term demand environment. Despite the near-term uncertainty, we believe the longer-term demand drivers and fundamentals for new residential construction continue to be favorable, supported by strong demographic trends and an housing stock.  As it relates to home improvement spending, the age of U.S. housing stock and elevated levels of homeowner equity provide a favorable backdrop for repair and remodel spending. While likely tempered by an economic slowdown, we anticipate these drivers to continue to be supportive of homeowners' future investment in their residences.  As Kelly mentioned, we remain well-positioned to invest in our existing asset base and organic growth projects in both businesses and have an expanded capital expenditure program for 2023. We also remain interested in M&A opportunities as a means to further grow the company.  In Wood Products, we will be focused on continuing to successfully integrate the Coastal Plywood operations into our system and execute on targeted investments to expand our EWP capacity in the Southeast U.S. The near-term weakness in new residential construction does not detract from the fundamental thesis for the Coastal acquisition and our conviction to grow EWP capacity. We will also closely monitor the changing housing market landscape and adjust our production rates as appropriate to meet sales demand.  BMD continues with a steady execution of organic growth. We recently announced purchases of property in South Carolina and Texas for Greenfield distribution centers. These new locations will allow us to better serve customers in Charleston, South Carolina, San Antonio, Texas and the surrounding markets in both areas.  In addition, we recently announced the purchase of a new facility to house an additional door shop in Kansas City, Missouri. We fully believe in the value proposition that 2-step distribution brings to the marketplace and are excited to continue our organic growth in BMD to support our vendor and customer partners.  Lastly, we have proven our effectiveness in managing market uncertainties, and I'm confident in our ability to do so in the future. We will continue to use our operating and financial strength to the benefit of our customers, suppliers, communities and shareholders. We remain committed to the execution of our key strategic priorities as we navigate market uncertainties and a weaker near-term demand environment for new construction.  Thank you for joining us on the call today and for your continued support and interest in Boise Cascade. We welcome any questions at this time. Tawanda, would you please open the phone lines?
Operator: [Operator Instructions]. Our first question comes from the line of George Staphos with Bank of America.
George Staphos: I guess the first question that I had is, obviously, destocking hit volume in I-joist and LVL. Can you talk to what you're seeing right now and, if the destocking is still happening, how long that will continue? Said differently, what are your early run rates on volume in the quarter?
Dean Brown: George, it's Mike. So thankfully, I would say at the beginning of this year is somewhat better than the tail end of last year. So not surprisingly, with the destocking that occurred in late 2022, January sort of gave an opportunity for the pipeline to really refill on some of that working capital that they've worked down in the last part of last year. So January was, all things considered, not a bad month relative to the prior 2 months in particular. In February, even though we're not finished yet, it's looking like it's similar to January at this stage.
George Staphos: Okay. So recognizing that it's kind of hard to get into all this on an earnings call live, Mike, would it be fair to say, directionally, you expect wood EBITDA could be fairly comparable with fourth quarter, i.e. you've got certainly some sequential price declines in EWP, but you're kind of making it up on the volume? How would you have us think about that? What guardrails might you put on how the analysts -- how we think about your outlook for the quarter?
Kelly Hibbs: Yes. So George, this is Kelly. We did give you some directional guidance in terms of EWP volumes. We did speak to expected price erosion in EWP. And then we also talked about plywood pricing being off 10% so far this quarter. We didn't speak to plywood volumes, but I would tell you we expect those to probably be flattish sequentially. So you put all that stuff together, and I would also say we're not getting a lot of relief, if you will, on cost pressures as it relates to wood, labor, glues, resins, et cetera. So we would not expect first quarter EBITDA to be at the same levels as it was in the fourth quarter. We would expect it to be down.
George Staphos: Can you talk to the operating stance that you're seeing, or that you're running at, at your mills in both plywood as well as EWP?
Dean Brown: Yes, sure, George. So I think, as Nate mentioned, we're monitoring, obviously, the order files and the demand that we have in front of us and adjusting our run schedules appropriately. I think, as you've heard several times in the past, because of our integrated nature, where a lot of the veneer that we produce internally normally ends up in EWP, we're having to take some adjustments in terms of run schedules. So there are a variety of things that we're doing, and they include reducing the number of shifts or the number of days per week and, on occasion, having to take outages of one or more weeks at a time. So it does vary a little bit by geography. So I'd say, generally speaking, the Southeast is a bit stronger and therefore is running a bit more consistently than the Pacific Northwest. And so when I look at the overarching what will this mean to the total volumes and what have you, I think the outcome in the first quarter will be not dissimilar to what we saw at the end of the year, so in Q4 of last year. So you will notice, or maybe you've seen through some announcements, at least, that we've taken down time of a week here or a week there depending on the location, and we will continue to do that depending on the order files and what we have in front of us.
George Staphos: Mike, lead times like a week or so right now?
Dean Brown: Yes. So the plywood order file is several weeks out in front of us. So that's a good thing. I'm very happy about that. And our EWP order file is actually increasing. So, hence, my earlier comments around January was significantly better than December as an example. And February has been pretty good so far. We'll see how that goes through the remainder of the remainder of this month and March.
Operator: Our next question comes from the line of Susan Maklari with Goldman Sachs.
Susan Maklari: My first question is it's clear that you are seeing an improved mix in BMD given all the efforts there with the General Line as a percent of that total. As you look out, can you talk to where those initiatives can get to over time and the role that, that will play in that segment margin as you think further than just the next quarter or so?
Kelly Hibbs: Yes. So it's a good question, Sue. And certainly, part of our strategy is we will continue to be in the commodity business. We're good at that, but the pieces of the pie we're trying to grow in BMD are exactly what you just said, which is General Line and EWP. And as we said before, our expectation is that, as we continue to grow those pieces of the pie, we do expect our EBITDA margin and gross margins to expand, and we have demonstrated that. We also did try to give you a little color here in terms of what we expect in terms of first quarter performance relative to pre-COVID levels in terms of EBITDA margins. But yes, over time, we're absolutely looking for that to be 4%-plus as we move forward in terms of EBITDA margins and BMD.
Susan Maklari: And then turning to EWP and the commentary to the last question around the order file that is increasing there. I guess, in general, it feels like the builders are pretty excited about what they're seeing on the ground as we head into the spring and are perhaps positioning to add some more volumes there. Can you comment on, 1, the channel inventory there as we do head into that. But 2, how do you think about the ability to hold some of the pricing that you have realized even if those underlying commodity prices do move lower? Do you think that that spread can hold to some extent?
Dean Brown: Sue, it's Mike. I'll have a stab at this to begin with, then the others on chime in. So the spread on the pricing side, I think the fundamental issue is that there's still significant downward pressure on EWP pricing. I mean, it's I think common knowledge that builders are looking to take out costs in every possible category. And so as a result, we're obviously -- haven't been on allocation for quite some time now. So I don't think the spread would remain. I think there'd be increasing pressure for some period of time, hopefully nothing like going back to the situation we found ourselves in pre-pandemic.  As it relates to overall demand and what builders are seeing, I think, again, depending on geography, the Southeast, if you will, in general has been stronger than the Northwest of late. But I think that could partially be due to the fact that California particularly was more or less underwater for several weeks. And finally, I think they're starting to see a little bit of additional action in California that could assist us, going forward.  So I think it's certainly not a green light, but it's no longer red. Maybe we're sort of flashing yellow. So there is a little bit more strength than we saw for sure late last year.
Nathan Jorgensen: Sue, it's Nate. Maybe just to add to Mike's comments. I think, to your point on maybe some of the optimism that the builders are describing here over the last couple of weeks; I think for me, it's maybe coming off a pretty pessimistic fourth quarter. So in terms of why maybe more optimistic today, I think the reality is that we're still looking at a different marketplace than certainly we were this time last year; but perhaps to your point, perhaps a bit more improved in terms of optimism and maybe some of the momentum that the builders are experiencing in select markets. So we're watching that carefully and closely. And as we described, we're managing our business and capacity plans accordingly.
Susan Maklari: Okay. And is it fair to assume that the inventory is still pretty lean in there?
Dean Brown: So I think my earlier comments around January, and this is a normal thing that happens pretty much every year. So January generally is a better month in terms of overall demand for EWP simply because of the way in which most of the industry focuses on working capital in any situation, any year. So I'd say the channel is certainly not full by any stretch of the imagination, nothing like it was, let's say, in the middle of last year. But I think it's too early to say that there's -- I'll put it this way. I think there's ample opportunity for more volume to go into the channel. We're nowhere near full at this stage.
Susan Maklari: And then one last question is just, obviously, you've done a great job in cash generation, and the balance sheet's in great shape. Can you just speak a bit to, one, the M&A pipeline as we kind of think about a shifting macro out there, but also just overall sort of uses of cash, shareholder return, plans around that for 2023?
Kelly Hibbs: Yes, sure, Sue. I'll take that. So maybe just let me speak to maybe capital allocation broadly, and then I think I'll get at your questions. So we do feel really good about our balance sheet, and we're fortunate to have balance sheet we have as we head into an uncertain period of time. We are really planning on executing on our $120 million to $140 million capital spending plan we have in 2023. We don't see our balance sheet being a hindrance of getting that done. We're excited about that.  And I would also say that, in environments like this where there are uncertainty, there's a reasonable chance that there could be some other organic or M&A sort of events that we would ponder. So yes, absolutely. We're looking to continue to grow the business with the plans we have in place as well as some things that might come to fruition.  And then to the point on shareholder returns, we're not going to lose sight of the shareholders also, that we will continue to have ongoing dialogue with our board and figure out what the right timing, what the right mechanism is to return cash to shareholders as and when we deem it's appropriate.
Operator: Our next question comes from the line of Ketan Mamtora with BMO.
Ketan Mamtora: Kelly, is there a way to think about current utilization rate in EWP? And I know it's not as simple just because of the way sort of flows through, but is there a way to think about it?
Dean Brown: I guess I would say, as a very general statement, we're not running anywhere near our capacity. I wouldn't like to go into specifics around are we running at 50% or 70% or 30%. I think that's not something that I'd like to get too far into other than to say, that if you look at the volumes that we were producing in the earlier part of last year, we were sort of running at capacity at that stage, but we were limited by both the near availability and people. We've certainly solved part of that problem. And so, should the demand increase significantly, we will have the veneer available to increase output as long as we can maintain our current workforce and actually bring on some additional folks that we would need.
Ketan Mamtora: And then switching to BMD. I'm just curious, as you look at sort of demand today, and you all move a lot of different products, can you give us a general sense of sort of just inventory in the channel, just your sense of sort of the sell-through demand at this point? Obviously, we've talked about new resi being down quite a bit. But I'm just curious, as you sit here and kind of look at it, how does that look?
Jeff Strom: Ketan, this is Jeff Stroma. Inventory in the channel, I'll tell you, as was said earlier, they've definitely have been destocking on everything, and they've been focused on net working capital and getting their inventories rightsized. And if you think about the risk/reward equation, where that stands right now is significantly different. That being said, there's a real reliance right now on inventory that we can ship prompt, right out of warehouse in quantities that they need. So while things have slowed down overall, our business out of warehouse continues to be significant.
Ketan Mamtora: And do you think that the inventory destocking in at least most product categories has already played out? Or is it kind of in the process of happening? Or we've got quite a bit of sort of further destocking ahead of us?
Jeff Strom: So what we've heard from our locations is that most of it is complete, but there still is some to go, and it varies by geography and by product line. But most of it seems to be done.
Nathan Jorgensen: Ketan, it's Nate. Maybe just to add to Jeff's comments is that, as you think about kind of where we're on in that process, is there a view that the channel will really look to increase inventory levels and really kind of stock up for the building season. And I think, given where we're at relative to the demand side of things, there's probably some hesitancy on risk/reward. And so I think people will probably stay more here and now relative to inventory levels and the dependency we think out of warehouse on a range of products and services will remain consistent and steady through the course of the year.
Ketan Mamtora: And then, Nate, can you talk a little bit about sort of what you've seen from your Coastal acquisition thus far? And sort of any surprises there either sort of positive or to the downside?
Dean Brown: Yes. Sure, Ketan. So I would say we're very satisfied with the acquisition. Most particularly, I'm very, very satisfied with the way in which the Coastal associates have transitioned to Boise Cascade associates. Very, very good, very good philosophy, very good in adapting to different processes and requirements as a public company versus a private company. So that part has gone extremely well. We're executing on our capital plan that was part of the acquisition, and we're already able to produce stress-rated veneer from the Chapman Alabama facility. So we've implemented the capital project, the initial capital project that allowed us to do that. So that's a because that was part of our plan.  And so there are always process issues because we're changing our systems and what have you, but nothing that I would call at all a stumbling block. So I think we're very, very satisfied and has put us in a remarkably good place when the demand returns as undoubtedly it will some time.
Operator: Our next question comes from the line of Kurt Yinger with D.A. Davidson.
Kurt Yinger: Just recognizing there's some noise right now in terms of EWP volumes, as you look out I guess over the course of the year and perhaps into 2024, do you think your volumes there can match or perhaps kind of outperform single-family starts trends? And how do kind of non-single-family related growth opportunities factor into your thoughts?
Dean Brown: Yes, Kurt, it's Mike. So we're doing everything that we can to offset the reduction in single-family stocks. And that includes, obviously, things like multifamily, like commercial. And we are very, very focused on that. In addition to that, there are opportunities with potential customers that we weren't supplying in the last round. And so we're on the offensive as it relates to looking for additional customers that may have been with somebody else and may not want to stay with the other brand. So I think we have ample opportunity to expand our shelf space across both single-family as well as multifamily. How that will play out, I think a little bit to Nate's comments, we're not really sure how the year is going to progress with the uncertainties around interest rates and so forth and so on. So I wouldn't like to give you a concrete answer to where we have more or less volume this year compared to last year just at the moment. I think we need a few more months under our belt to have a bit better view of how the year will pan out.
Kurt Yinger: And then, Kelly, you kind of talked about not seeing much relief on the cost side yet. But in terms of refilling long inventories in the West and perhaps even in the South, do you have line of sight to some deflation there? And could you also maybe touch on OSB prices in terms of web stock and how that might factor into the cost side over the next couple of quarters?
Kelly Hibbs: Yes. I'll hit it briefly and then maybe I'll let Mike give you some more color if need be here. So yes, we did allude to the cost pressures are still pretty persistent. And in the south and the east, log costs, as have been for a number of years, have been pretty steady, right? And so not a lot of ups, not a lot of downs. And so we don't see that changing a whole lot. And in fact, there'll probably be a little bit of pressure on those wood baskets as we move forward. In the West, you get 2 things to think about there as it relates to us in Northeast Oregon and Northeast Washington, a good amount of the wood cost there are tied to end product prices. So we would expect to start to see some relief as we move through 2023 there. In Western Oregon, not so much the case. That's a challenged wood basket, and costs are generally high there. So that's wood cost.  And then I guess, labor, we have increased some costs there, and happy to do that in support of our associates, and so we don't see that coming down. Glues and resins, it's tied to petrochemical, and so might we start to get some relief over time? Sure, but we haven't seen it yet. Any other color you'd add, Mike?
Dean Brown: No. I think that's really it. I mean, for the most part, as I think everybody has seen, the wood, labor, energy, resin, maintenance materials costs have all increased significantly. And some of them may slide back a little bit during this year, but it will depend a lot on how the macroeconomic situation pans out. So I certainly don't think we can get some of those costs back to where they were before, the primary one obviously being the hourly wages number, but that's not going back to where it was before.
Kelly Hibbs: Yes. And then one thing I didn't cover off there, Kurt, was that, yes, we would expect to start to see some benefit as OSB prices come off, but again, on a lagged basis, as we've talked about before.
Kurt Yinger: And then just lastly, in terms of M&A opportunities that you kind of alluded to; Coastal, I think, strategically makes a lot of sense. It expands the runway for growth in EWP. In BMD, you guys have been pretty successful just growing organically. And so I guess I was hoping you could just maybe provide a little bit of color at a high level around what strategically you would find attractive from an M&A perspective.
Nathan Jorgensen: Kurt, it's Nate. I think in terms of M&A, to your point, I think we've gotten a number of things done here over the last maybe 12 to 24 months, and we still have a lot of work and optimism in front of us in terms of M&A and growth opportunities. For me, I would say we're going to stay centered in who we are and what we do. So we're not going to be looking to get unique and get kind of extreme in terms of how we show up in front of the marketplace on a day-in, day-out basis. So I think we'll stay kind of centered largely in the work and the business that we're involved in today.  To your point, I think we feel good about the Coastal acquisition and what that represents in terms of growth opportunities. And I think we also continue to look at opportunities in the commercial construction space, and again, maybe what opportunities may exist down the road in terms of mass timber.  I think in BMD, as you described it, it's really staying, making sure we have the right kind of capability and capacity on services and products in market on a day-in and day-out basis. And we continue to look at opportunities specifically to grow our door and millwork franchise. So we feel good about the work that's been done over the last year or so on that, specifically our work in Texas. We feel good about the announcement in Kansas City. And again, I think that's something we'll continue to look for in terms of how do we continue to grow that platform, given, again, I think it's fit both with our customers and as well as our suppliers.  So I hope that provides some context. Again, we're not going to be heading into a unique place. I think we're going to stay pretty consistent and steady with the businesses and kind of the environment that we've been in here of last number of years.
Operator: We have a follow-up question from the line of George Staphos with Bank of America.
George Staphos: Just two quickies. One, what's the latest on the Brazilian plywood certification saga? And then overall, you had mentioned destocking had happened pretty sharply at the retail level, if I heard you correctly. Are there inventories now, your customers pretty normal from what you can see? You said there is room for [indiscernible] to move up, but I'm just wondering, if I mapped it correctly, where you think inventories are relatively normal at this juncture at retail at the big home channel centers.
Kelly Hibbs: Yes. Thanks, George. I'll give it a go on the Brazilian plywood, and then we'll let Nate further speak to the inventory in the channel. So I think you used the word &quot;saga,&quot; George, when you asked about this product the certification as it relates to rated sheeting. That's probably still the appropriate word. There's kind of been several stops and starts there around that. And so we've seen the lowest level of imports from Brazil into the U.S. in January that we've seen in the last 3 years. And then it's kind of year-over-year volumes from Brazil were off about 18%.  So certainly, I think the certification issue has impacted that. We'll see where that goes from here. But we do feel like that has created more incremental demand for U.S. domestic plywood production, which is obviously a good thing for Boise Cascade. Nate, on the inventory?
Nathan Jorgensen: I think in terms of kind of where the channel's at, where people are at, I think people will continue to look at the risk and reward equation, both on price and volumes. I think as you look at kind of where people are going to kind of index to and how they're thinking about it, I think, largely, it's what is their belief on pricing risk as well as expected kind of demand levels in the marketplace. For me, it feels there's more normalcy in the conversation than there's been for a period of time. I think Mike even spoke to kind of the seasonality. I think we're seeing elements of that. And I think there's also kind of a view that access to material and services is better today than it's been in a number of years.  And so, in terms of needing to go long on inventory, that thesis just really exists today. And so people are staying short, again, both on the demand and on the pricing side of things to make sure, again, that risk/reward equation is correct. Maybe for me, the other maybe data point here is it's not a question of whether customers in the channel can take on more in terms of their balance sheets, because they can. I think everyone's in a good spot. It's simply what the environment describes today on demand and price. And again, I think people are being conservative, and rightly so, in terms of how they're managing that. And again, I think that's showing up well for Boise Cascade in terms of the auto warehouse presence and services support that we're providing.
Operator: I'm showing no further questions in the queue. I would now like to turn the call back to Nate for closing remarks.
Nathan Jorgensen: Great. So thank you. We appreciate everyone joining us this morning for our update, and thank you for your continued interest in supporting Boise Cascade. Please be safe and be well. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.